Operator: Good morning, and welcome to the Erie Indemnity Company’s Second Quarter 2020 Earnings Conference Call. This call was pre-recorded and there will be no question-and-answer session following the recording. Now, I’d like to introduce your host for the call, Vice President of Investor Relations, Scott Beilharz. You may proceed.
Scott Beilharz: Thank you and welcome, everyone. We appreciate you joining us for this recorded discussion about our 2020 second quarter results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market close and are available within the Investor Relations section of our website, erieinsurance.com. Before we begin, I would like to remind everyone that today’s discussion may contain forward-looking remarks that reflect the company’s current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause such differences, please see the safe harbor statements in our Form 10-Q filing with the SEC, dated July 30, 2020, and in the related press release. This pre-recorded call is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. With that, we will move on to Tim’s remarks.
Timothy NeCastro: Thanks, Scott. And thank you everyone for your time today and your interest in Erie’s second quarter results. Before we talk about our quarterly financials, I want to touch on a couple of topics that are certainly top of mind for us, as a business, and more importantly, as people. First, the pandemic. As the coronavirus spread and states have opened up quickly, all of us at Erie remain grateful to the healthcare professionals and essential workers, who deliver every day with great courage and caring. Some of the actions we’ve taken regarding remote work have been taken to protect our employees and help stem the spread of the disease and its impact on the healthcare system in our communities. While the majority of our 6,000 employees continue to work remotely, we have a few hundred essential workers who remain onsite throughout our 12-state footprint. These are the employees maintaining our network and data systems, facilities and construction teams, and handling cash processing and other critical functions that can only be performed on site. Together with more than 13,000 Erie licensed agents, our employees, wherever they’re working, are consistently delivering on Erie’s promise of service throughout these trying times. As I shared with you in May, our support for customers includes $400 million in financial relief for our personal and commercial automobile customers. This included $200 million in policyholder dividends and an overall 5% rate reduction for those policies. We mailed $2.5 million dividend checks addressed for more than 1,400 customers, who responded with greeting cards, letters and emails, thanking Erie and our agents. Most [note of the check] [ph] which average about $75, made a meaningful difference from helping with the weekly grocery bill to affirming their decision doing business with Erie. I wanted to share one comment from a customer in Wisconsin. Not only did the dividend check, bring a smile on my face, it looks like a ray of sunshine. That may seem flowery, she wrote, but with all that’s going on in our country, it made my day brighter. That customer also told us that she’s giving away her dividend to a local food pantry to help her neighbors hit especially hard by the pandemic and financial crisis, who’s actually one of many customers who said they would pay it forward and donate their dividend to the pandemic relief efforts. Our agents have stepped up in big ways too, with more than $2 million in community relief funding from Erie bolstering our efforts, our agents help, be it, frontline workers and first responders, support local businesses and give money to charities in need. This important work was reflected in nearly 2,000 stories they hear on social media. Our employees and agents all share a deep belief in service and caring and in doing the right things, both in our community and the work we do every day as we grow our business and serve our customers. Before we move into the financials, I want to address the dialogue that is occurring across our country and within our communities around race and racism. It’s a conversation that was happening in Erie as well with employees across the organization as we broaden perspectives and create positive change in our workplace and in our communities. Those conversation, we are committed to continuing. At Erie, we do not tolerate racism or other forms of discrimination of any kind within our employment or agency force. We believe in promoting environment of mutual respect. Put simply, we believe in the golden rule, we strive to treat all people with dignity and respect each of us deserves. Thank you. It’s important to me that you know where we stand. Let’s move on to the second quarter in the year financial results. As you saw in our press release, filed July 30, Erie Indemnity reported net income of $82 million or $1.57 per diluted share for the second quarter. Like the rest of property/casualty industry, our second quarter results reflected the combined impact of the COVID-19 pandemic and the related financial crisis. I am confident in our response, in our support of agents and customers, and our ability to continue to grow, albeit in a slower pace as we adapt to the current normal. Our productions continue to rebound as our agents with the help of our sales team have adjusted to this new way of working, and are once again focused on growth. Losses remain below normal levels stemming from a relatively mild screening across our territory and industry-wide reduction in miles driven. And overall, our financial position remains extremely solid despite the tumultuous fear our country and our world has experienced. I’ll talk more about our progress on key initiatives in a few minutes after Greg provides a deeper review of our financials. Greg?
Gregory Gutting: Thanks, Tim. Good morning, everyone. Thank you for taking time today to be a part of the Erie Indemnity second quarter earnings call. Throughout Erie’s 95 years of operations, we’ve faced many challenges, including things outside of our control, like the pandemic. Through all these challenges our focus is on consistent delivery of superior service and products for our customers and agents; a superior work environment for our employees; and most relevant to today’s discussion, delivery of superior financial performance to our shareholders. Starting with the exchange, the insurance operations we manage, direct written premium growth for the second quarter was 0.5% driven by strong growth in renewal premium, which climbed almost 3% over the prior year. With a combined ratio for the quarter of 95.7% and the improved financial markets experienced during the second quarter, the exchange’s policyholder surplus grew to $9.4 billion, up substantially from $8.8 billion in the previous quarter. Now, shifting to Indemnity. In the second quarter, Indemnity’s net income was $82 million or $1.57 per diluted share, compared to $88 million or $1.68 per diluted share in the second quarter of 2019. For the first half of 2020, net income was $141 million or $2.70 per diluted share compared to $163 million or $3.12 per diluted share in the first half of 2019. Operating income decreased 5.6% or $5 million in the second quarter of 2020, compared to the second quarter of 2019. Indemnity also saw a decrease in operating income of 3.2% or $6 million for the first 6 months of this year, compared to the first 6 months of last year. Indemnity’s management fee revenue from policy issuance and renewal services increased $3 million or 1% in the second quarter of 2020, compared to the second quarter of 2019. For the first 6 months of 2020, Indemnity saw an increase of $16 million or 2% compared to the first half of 2019. Management fee revenue allocated to administrative services increased $600,000 in the second quarter and $1.4 million in the first half of 2020 compared to the same periods in 2019. Turning to Indemnity’s cost of operations for policy issuance and renewal services, commissions increased $5 million in the second quarter and $14 million for the first 6 months of 2020 compared to the same periods in 2019. The increases in agent compensation in both periods were primarily driven by the increased incentive awards due to improved profitability resulting from lower claims activity in 2020. Also contributing to the increased commission costs for the first 6 months of 2020 was the 2% growth in the direct and affiliate assumed premiums written by the exchange. Non-commission expense increased $4 million in the second quarter of 2020 compared to the second quarter of 2019. Information technology costs increased by $2 million, driven by increases in professional fees and hardware-and-software costs, primarily to support remote work capabilities for our employees. Sales and advertising costs increased by $2 million, primarily driven by a new program to support agent charitable giving in response to the COVID-19 pandemic. For the first 6 months of 2020, Indemnity saw an increase in the non-commission expense of nearly $9 million, driven by increases in technology costs of $5 million, underwriting and policy processing expenses of nearly $3 million, and sales and advertising costs of $2 million. All expense categories in our non-commission expenses record increased personnel costs, stemming from increased vacation expense accruals related to employees canceling or postponing vacations due to the COVID-19 pandemic. Administrative and other expenses decreased a little over $2 million in the first 6 months, primarily driven by a decrease in long-term incentive plan costs due to a smaller increase in the company’s stock price during the first 6 months of 2020 compared to the same period in 2019. Income from investments before taxes totaled $12 million in the second quarter and $2 million in the first 6 months of 2020. Both the second quarter and the first 6 months of 2020 were impacted by market volatility brought on by the COVID-19 pandemic. In closing, I want to reiterate that we continue to take a measured approach to capital management and diligently maintain a strong balance sheet. And for the first 6 months of 2020, our solid performance has enabled us to pay our shareholders nearly $90 million in dividends. Thank you again for your time today. Now, I’ll turn the call back over to Tim.
Timothy NeCastro: Thanks, Greg. With the strong financial position, Erie remains well equipped for continued investment in our operations, our service capabilities and in our competitive position, which is critical as economic contraction continues. Our teams continue to execute on initiatives that will make a positive difference for our agents and customers this year and beyond. One of the most significant deliveries planned for this year will come in August with the launch of the streamlined commercial multi-peril product called [re-secure the business] [ph]. In addition to new coverages, the product will come with a new platform that will create efficiencies for Erie and our agents. Customers will have the benefit of an easy to understand package of protection, valuable risk management services and claim support. Starting next month, Erie Family Life will introduce a new instant issue life insurance product that provides our agents with easy to sell, competitive term and whole life product options to complement a personal auto policy. Point of Sale for the product will occur within an agent’s workflow recording a personal auto policy or endorsement, which we believe will empower more agents to sell life insurance to more customers. We continue to roll out, refresh Erie Rate Lock product to customers in more states. As of June 30, agents in 4 states were offering this more competitive product, which provides customers, the ability to lock in their auto rate until they’ve made a qualifying change. This refresh along with plans to reduce auto insurance rates overall, create an even stronger long-term competitive position for our agents to support both new and renewal business. Early results were positive. Applications were up 10% in states where the new Erie Rate Lock is offered. We also continue to evolve our service offerings to ensure that we meet our customers where they are, and in the ways they want to receive service. We recognize that for many customers that can change by the need of the day, even by the hour. One enhancement we’ve seen, take on greater importance in recent months is ePay. This service delivers claims payments directly to customers’ bank accounts in as little as 30 minutes. And Erie was one of the first insurers to offer this option. And just recently, we hit a milestone with more than $100 million in claims payments made through ePay. That sum reflects more than 35,000 transactions, which we expect will continue to grow. Currently, more than 1 in 4 eligible claims is now paid through ePay. Before we close, I want to share a few accolades earned by Erie since our first quarter call. First, Erie moved up 5 spots in the 2020 Fortune 500 list of the largest American corporations from 381 to 376, based on total revenue from the 2019 fiscal year. Our ranking among this prestigious group for the past 17 years, speaks to Erie’s strong financial position and our commitment to service. Additionally, the credit rating agency, AM Best, affirm the financial strength rating of A+ Superior for the property/casualty numbers of Erie insurance group. Erie has retained at least an A+ rating for more than 80 years in a row. Our ratings from AM Best reflect Erie’s strong balance sheet and operational performance. In addition to favorable risk business profile and appropriate enterprise risk management. The agency also affirmed the A Excellent of Erie Family Life Insurance Company. Lastly, I’m very pleased to share that Erie Center of Excellence team earned certification from BenchmarkPortal. This is one of the most respected awards in the customer service and support industry. The certification reflects the team’s hard work, commitment to collaboration with our customer care and First Notice Of Loss call center teams to bring stronger data-driven decision making. Both of these areas, customer care and First Notice Of Loss also holds certifications from BenchmarkPortal creating a trifecta of superior service. In closing, these are unusual times [to be for.] [ph] I couldn’t be more proud of our team at Erie and our agents for their commitment and hard work and adaptability during these times. It makes a difference for all of us associated with Erie. Thank you for your continued interest in Erie. Please take care and stay safe.
Q - :
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.